Operator: Good morning. My name is Katie, and I will be your conference facilitator today. Welcome, everyone, to Chevron's Fourth Quarter 2025 Earnings Conference Call. At this time, participants are in a listen-only mode. After the speakers' remarks, there will be a question and answer session and instructions will be given at that time. As a reminder, this conference call is being recorded. I will now turn the conference call over to the Head of Investor Relations of Chevron, Mr. Jake Spiering. Please go ahead.
Jake Spiering: Thank you, Katie. Welcome to Chevron's Fourth Quarter 2025 Earnings Conference Call and Webcast. I'm Jake Spiering, Head of Investor Relations. Our Chairman and CEO, Mike Wirth, and our CFO, Eimear Bonner, are on the call with me today. We will refer to the slides and prepared remarks that are available on Chevron's website. Before we begin, please be reminded that this presentation contains estimates, projections, and other forward-looking statements. A reconciliation of non-GAAP measures can be found in the appendix to this presentation. Please review the cautionary statement and additional information presented on slide two. Now, I will turn it over to Mike.
Michael K. Wirth: Thank you, Jake. 2025 was a year of execution. We set records, started up major projects, and strengthened our portfolio. Production reached record levels globally, and in the US, supported by key milestones and strategic actions. Including completion of the Future Growth Project at Tengiz, 260,000 barrels of oil per day. Start-up of Valleymore and Whale and the ramp-up of Anchor in the Gulf of America. Advancing toward our goal of 300,000 barrels of oil equivalent per day in 2026. Achieving 1,000,000 barrels of oil equivalent per day in the Permian, and shifting focus to free cash flow growth. And closing the Hess acquisition. Creating a premier upstream portfolio with the highest cash margins in the industry. Additionally, in the downstream, we delivered the highest US refinery throughput in two decades reflecting recent expansion projects and higher efficiency. This performance drove strong results. Including industry-leading free cash flow growth, excluding asset sales, adjusted free cash flow was up over 35% year over year even with oil prices down nearly 15%. And for the fourth consecutive year, we returned a record cash to shareholders. Delivering on our consistent approach to superior shareholder returns. Chevron has been in Venezuela for over a century. And we remain committed to leveraging our deep expertise and long-standing partnerships for the benefit of our shareholders, and the people of Venezuela. Since 2022, in full compliance with US laws and regulations, we've worked with our Venezuelan partners to increase production in our ventures there by over 200,000 barrels per day through a venture-funded model to recover outstanding debt. We see the potential to further grow production volumes by up to 50% over the next eighteen to twenty-four months. We're reliably delivering Venezuelan crude to the market including our own refining system. There is significant potential in our assets, and in the country. We're optimistic the future holds a more competitive and robust pathway to deliver value to Venezuela, the United States, and Chevron. We've been a pivotal part of Venezuela's past. We're committed to the present, and we look forward to a continued partnership into the future. Our advantaged assets in the Eastern Mediterranean continue to grow. And we're advancing multiple high-return projects to bring world-class gas to regional markets. Leviathan recently reached FID to further expand production capacity. Combined with a near-term expansion, gross capacity is anticipated to reach roughly 2,100,000,000 cubic feet per day at the end of the decade. Contributing to a doubling of current earnings and free cash flow. At Tamar, the optimization project start-up is in progress, increasing gross capacity to approximately 1,600,000,000 cubic feet per day. An Effort ID has now entered feed. Working toward developing a competitive investment in Cyprus. We expect these projects to build on the existing assets' top quartile reliability and unit development costs further expanding our differentiated position. Before concluding, I want to provide a brief update on TCO. Earlier this month, TCO experienced a temporary issue on the power distribution system. Production was safely put in recycle mode while the team identified the root cause. Early production has now resumed. We expect the majority of the plant capacity to be online within the coming week and unconstrained production levels within February. Our full-year 2026 guidance of $6,000,000,000 of Chevron share free cash flow from TCO at $70 Brent is unchanged. I want to reiterate our message from Investor Day. Chevron is bigger, stronger, and more resilient than ever. We're entering 2026 from a position of strength, and will continue building on our momentum in the years ahead. Now, to Eimear to discuss the financials.
Eimear Bonner: Thanks, Mike. Chevron reported fourth-quarter earnings of $2,800,000,000 or $1.39 per share. Adjusted earnings were $3,000,000,000 or $1.52 per share. Included in the quarter were pension curtailment costs of $128,000,000 and negative foreign currency effects of $130,000,000. Cash flow from operations was $10,800,000,000 for the quarter, and included a $1,700,000,000 from a drawdown in working capital. In line with historical trends, we expect to build in working capital in 2026. Organic CapEx was $5,100,000,000 for the quarter, and full-year organic CapEx was in line with guidance. Inorganic CapEx related mostly to lease acquisitions and new energies investments. We repurchased shares at the high end of our fourth-quarter guidance range at $3,000,000,000. Our balance sheet remains strong ending the year with a net debt coverage ratio of 1x. Compared to last quarter, adjusted earnings were lower by roughly $600,000,000. Adjusted Upstream earnings decreased primarily due to lowered liquids prices. Adjusted Downstream earnings were lower largely due to lower Chemicals earnings, and Refining volumes. Adjusted free cash flow was $20,000,000,000 for the year, and included the first loan repayment from TCO and $1,800,000,000 in sales. Share repurchases combined with the Hess shares acquired at a discount were over $14,000,000,000. Looking ahead, we expect continued growth in cash flow driven by low-risk production growth ongoing cost savings and continued capital discipline. 2025 marked the highest full-year worldwide in US production in Chevron's history. Excluding impacts of the Hess acquisition, net oil equivalent production growth at the top end of our 2025 guidance range of 6% to 8%. Production of TCO, the Permian, and the Gulf of America was in line with or better than previous guidance. Due to strong performance and disciplined execution. We expect volume growth to continue in 2026. As we see the benefits of project ramp-ups, a full year of Hess assets, and continued efficiency in our Shield portfolio. A full year of Permian above 1,000,000 barrels of oil per day and back in production underpins the expected growth in Sheel and Tite. Recent and upcoming project start-ups in Guyana, the Gulf of America, and the Eastern Mediterranean are anticipated to increase offshore production by approximately 200,000 barrels of oil equivalent per day. We expect TCO to grow 30,000 barrels of oil equivalent per day delivering near its original plan as the 2026 maintenance schedule has been optimized. In total, growth in these high-margin assets is anticipated to contribute to a 7% to 10% increase in production year over year, excluding the impact of asset sales. Last year, we launched our structural cost reduction program as part of our continued commitment to cost discipline. Execution has exceeded expectations, $1,500,000,000 delivered in 2025, and $2,000,000,000 captured in the annual run rate. These results reflect a broad organization-wide effort to operate more efficiently. Challenging high and more work gets done, streamlining processes, integrating advanced technology, and leveraging our scale across the supply chain. We've restructured our operating model to be leaner and faster, with a more intense focus on benchmarking and prioritization. And we're not done. We expect this momentum to continue as we aim to deliver on our expanded target of $3,000,000,000 to $4,000,000,000 by 2026. With more than 60% of savings coming from durable efficiency gains. As Mike referenced, entering 2026 a position of strength. Our diversified portfolio has a dividend and CapEx breakeven below $50 Brent, and a deep opportunity queue with lower execution risk. Capital discipline remains at the core of our strategy, as we focus on only the highest value opportunities. Our balance sheet is in excellent shape, with significant debt capacity that provides additional resilience and flexibility. This disciplined approach allows us to manage through cycles, invest for the future, and consistently reward shareholders. Over the last four years, we've returned more than $100,000,000,000 in dividends and buybacks. As we showed you at our Investor Day, our track record of growing the dividend is unmatched across decades. Today, we announced a 4% increase in the quarterly dividend, in line with our top financial priority. I'll now hand it off to Jake.
Jake Spiering: That concludes our prepared remarks. Additional guidance can be found in the appendix to this presentation. As well as the slides and other information posted on chevron.com. We are now ready to take your questions. We ask that you limit yourself to just one question. We will do our best to get all of your questions answered. Katie, can you please open the lines?
Operator: Thank you. If you have a question at this time, please press 1 on your touch-tone telephone. To allow for If your question has been answered or you wish to remove yourself from the queue, please press 2. If you are listening on a speakerphone, we ask you please lift your handset before asking your question to provide optimum sound quality. We'll take our first question from Arun Jayaram with JPMorgan.
Arun Jayaram: Good morning, Mike. I was wondering if you could elaborate on a few of the moving pieces around TCO volumes in 2026. Including the optimized maintenance schedule, and perhaps, Mike, you could just discuss the issue on the power distribution system and where you stand with some of the debottlenecking activities that could potentially result in an increase in your productive capacity at TCO?
Michael K. Wirth: Sure. Let me start with the power issue since that's been the most recent information there. The team proactively suspended production at the facility when an issue was identified in the power system. I'm really proud of the organization for taking that step being willing to reduce production when they identified a condition that created a risk and focusing on the safety of people, assets, the environment. They acted with urgency to get the facility into a safe posture. Immediately, began working on root cause identification and very quickly began implementing solutions to get production back online. Production has been resumed at the Korolev field. A number of the assets or power distribution assets have been taken out of service, have been brought back into service. We've actually got power now to one of the pressure boost facilities. And are in the process of beginning to ramp things back up to higher rates, through the processing plants as I outlined in my opening comments. Also, you know, in the news, just to close the loop on it, you know, we have two morning births back in service at CPC. We've been working for the last thirty plus days, maybe thirty to forty-five days, through a single mooring berth. So back into, you know, start-up mode on TCO, and as I indicated, full field production capacity is not far away. When you look at the full-year guide where we said we expect to be near our original production expectations, two things I would point to. One is a maintenance optimization, which is timing of activity. And optimizing downtime. And so as we've looked at the schedule for this year, we've got a more optimal plan that will accomplish the maintenance objectives and reduce the amount of planned downtime that goes with those. And then the second thing gets to your question about debottlenecking. At our investor day, we shared some history at TCO. That demonstrated over our years there in multiple projects, we've been able to steadily improve plant capacity beyond nameplate. We're working on that again now with the new project. And in fact, one of the pit stop turnarounds that we took late in 2025 was to address to retray a column or a portion of a column and address some issues that have been identified that we believe will allow us to push some more throughput through the plant. We've actually not run that at full capacity long enough to be able to speak to exactly what the impact of that is because of some of these other constraints that I just mentioned. But as we're back up and running, we'll certainly have a chance to test that. And I would expect, that and other steps that we take will lead to gradual debottlenecking, and we'll look to try to creep capacity further upward. And we'll advise you as we've got, you know, run time and confidence that we can demonstrate that we'll let you know what that looks like. Thanks, Arun.
Operator: We'll take our next question from Neil Mehta with Goldman Sachs.
Neil Mehta: Morning, Mike and team, and thanks for the comments. Just Mike, if you could unpack Venezuela a little bit more, specifically, your just thoughts on the conditions of the assets on the ground and how much running room there is in terms of the resource there. You know, how big could this be in the context of Chevron's portfolio? And I think Mike, you alluded to the fact that might be thinking about this more in a self-funding model type of way. So anything you can unpack there too be great.
Michael K. Wirth: Yeah, Neil, maybe I'll put a little bit of a context around this just because I had different discussions with people over the years, and I'd like to get everything kinda level set on it since it's been more front and center recently than it has been historically. First of all, our operations there through the last month and all the things that have happened on the ground have continued uninterrupted. Our people are safe. We continue to work closely with our partners in Venezuela to get crude to the market. So we've not been impacted by any shipping issues or anything else. Have been in the media. We're actually in four different joint ventures with Petabesa, three of which are producing assets. Since 2022 when there were some changes in the licenses out of OPEC under the Biden administration, we've grown production by over 200,000 barrels a day. Gross production now is up around 250,000 barrels a day. And as Mark mentioned during the White House meeting, there's the potential for up to an incremental 50% production growth over the next eighteen to twenty-four months as we get some additional authorizations from the US government. The activity on the ground right now is entirely funded through the cash within those ventures. And so the current license agreement requires us to pay certain tax and royalties that we're legally obligated to pay. It enables repayment of debts that, that we have you know, still have debt balances that were owed, and we've been gradually working those down. And then the additional cash goes back into the operations for normal operating costs. That has funded, things like well work workovers, basic maintenance on pump and pipelines and compressor stations and the like. Which have allowed us to improve production. As we have and would continue to, as I indicated, up to maybe 50% additional growth. So that's the current state of things. As I think everybody on the call knows, the resource potential in Venezuela is large. It's well established, and there's a lot of running room ahead. I can speak to the state of our assets, and we have worked hard to keep them safe and reliable and maintain them during this period of time. I think as you look at the performance out of other assets that we're not involved in, you can see that that may not be the case across the rest of the industry in the country as, you know, the production has kinda steadily eroded over, you know, the last decade or so. And so I think the opportunity to do some of the things we've done in some of these other operations is probably there. I think it's a little early to say what our longer-term outlook is Neil. You know, should expect us to remain focused on value and capital discipline. It's a large resource that has the opportunity to become a more sizable part of our portfolio in the future. But we also need to see stability in the country, we need to have confidence in the fiscal regime. There was a hydrocarbon law that was passed just yesterday. They were in the process of reviewing to understand how that applies. And so there'd be a number of signposts that we'll be watching, you know, and, you know, as I try to remind people always, like anywhere that we invest, fiscal terms, stability, regulatory predictability are important. And so it'll have to compete in our portfolio versus attractive investments in many other parts of the world. The right changes, we certainly could see our operations and footprint expand in Venezuela. And, you know, we're working with the US government and the Venezuelan government to try to create circumstances that would enable that.
Jake Spiering: Thank you, Neil.
Operator: We'll take our next question from Doug Leggate with Wolfe Research.
Doug Leggate: Good morning, everybody. Mike, I wonder if I could just quickly take you back to Tengiz. And it's I guess it's really more of a macro question because I think you're aware that Kazakhstan seemingly has some fairly substantial compensation cuts planned in the summertime. And I don't know how much of that was supposed to be Tenge's. I think it was a previous question from one of the guys asking about maintenance, but now that you've had this unplanned downtime, I'm wondering does that kind of meet the compensation if you had any contribution to that? In other words, we should not expect any further cuts later in the year. I don't know if you can speak to that both on a macro and a Chevron specific level, please.
Michael K. Wirth: Yeah, Doug. I really can't. You know, that's a matter for the Republic and obviously OPEC plus as they engage in their discussions, which we're not privy to. I'll point out that historically, because the TCO barrel is a pretty attractive barrel from a fiscal standpoint to the republic, that, what we've seen historically is if there are restrictions on production in the country, you know, those tend to affect the barrels that are less fiscally attractive to the government, and TCO doesn't have a history of being, you know, impacted to a great degree by that. And so you know, I would point to that. I know history is not always a prediction of the future, but that's how things have historically worked. And I just don't know what agreements or understandings there are within the country relative to OPEC. Thanks, Doug.
Operator: We'll take our next question from Ryan Todd with Piper Sandler.
Ryan Todd: Great, thanks. Maybe on the Eastern Med, you've made a lot of progress in the Eastern Mediterranean over the last six months. Can you walk through kind of the drivers of the progress in the region, keys to Aphrodite development, getting that to FID, and then maybe additional opportunities in the region, including places like Egypt where we've seen some headlines, involving yourselves of late.
Michael K. Wirth: Yeah. Thanks, Ryan. We continue to be very excited about the resource potential in the Eastern Mediterranean. You know, I used to get some questions back during, you know, the last year or so when there was a lot of, kinda geopolitical, uncertainty in the region. But you know, this is a tremendous resource. All credit to Noble Energy for the way they developed both tomorrow and Leviathan. And, you know, across our core assets, on a gross basis, we've got over 40 TCF of resource. This is comparable to our assets in Australia, have been the focus of investors for a long time. But this is similar scale. In the near term, we're focused on safely bringing online projects at both tomorrow and later this year. Tomorrow, we'll add about 500,000,000 cubic feet a day of capacity. Leviathan, about 200. And then the Leviathan expansion, just took FID on, will take gross production there to 2.1 BCF by the end of the decade. So steady growth, combined those projects should increase production about 25% and double earnings and cash flow by 2030. And then as you mentioned, Aphrodite just entered FEED. We're working towards a competitive project in Cyprus. This is one that's been, kind of on the drawing board for quite some time, and we've reached, I think, a good understanding with Cyprus on the development concept there. And so all of these, you know, lead to our confidence in the region. Last thing is we've got at least one exploration well I know that is going to go down offshore Egypt. We've got a large position in a number of blocks offshore Egypt further to the West in areas that are relatively underexplored and have been under some military exclusions. Historically, working petroleum systems onshore, and, you know, we've got reasons to believe they could extend offshore. So we're gonna be testing that. We shot seismic and gonna be getting some wells down. So an important part of our portfolio, good things underway now, and I think you know, the running room on this one continues well into the future.
Jake Spiering: Thank you, Ryan.
Operator: We'll go next to Devin McDermott with Morgan Stanley.
Devin McDermott: Hey, good morning. Thanks for taking my question. Eimear, you had some helpful comments and details in the slides on the cost reduction progress so far. And if we look at what's on deck for 2026, what's ahead still, I think some of the remaining improvement is really driven by some of the fairly material organizational changes that Chevron implemented last fall. And now that you're a few months into this new operating model, was wondering if you could talk about some of the early results that you're seeing so far, both on cost and operations? So any positive surprises or conversely, kind of lessons learned or areas that are still a work in progress.
Eimear Bonner: Okay. Thanks, Devin. Yeah. We've hit the ground running, and we went live with the new organization in October. And, the new operating model is live and well, and, you know, we're seeing that reflected in the early results that we've shown you today in the prepared comments. So we've saved $1,500,000,000 thus far on the cost reduction program. So some of that's coming from divestments. Some of that's coming from efficiencies and technology, and so you see the early results of the organizational impacts in the results already. The run rate's greater than $2,000,000,000. You know, at the end of the year. So, we are expecting the organizational efficiencies to add to the results that we're seeing thus far. So we're very confident in the target that we've set and delivering that over the course of this year. And just a reminder, that's three to four billion dollars. Look. In terms of the lessons learned, what I'd say is we're seeing results everywhere. Every team as part of this program has been benchmarking, has been looking for areas of improvement. So we've got a lot of programs that are looking at improving our competitiveness across every metric. Some of the examples that I would call out, production chemicals, now that we have our shale and tight portfolio and assets altogether in one business, we've been able to look at that from an operational efficiency perspective not only the optimized operationally, know, the chemical treatments, but also the cost, and the dose. So that would be an operational lessons learned, word of the scale, and the design of the new organization makes that easier to do, and the results speak for themselves. Another area, maybe in the technology space, you know, we've talked about this for a number of years, but AI, is really starting to take off in terms of being used in every part of the business. And in the new organization, our supply chain team is set up a little bit differently, and they've really been using AI in a neat way to glean more intelligence around how to approach certain negotiations, and so that would be an example as well. So all in all, we're on track to deliver the 3 to 4,000,000,000 I'm very confident in that. This is overall OpEx reduction while we significantly grow. So we'll keep you updated on the progress. Thanks for the question.
Operator: Thank you. We'll take our next question from Sam Margolin with Wells Fargo.
Sam Margolin: Hi, good morning. Thanks for taking the question. Maybe revisiting the Permian you know, I think it was, like, the '23 where you called out that productivity well, productivity in the Permian on the operated side was inflecting higher and you know, now two years later, seems like we're really seeing it flow through in capital efficiency. And so the question is, like, when you get this kind of momentum in short cycle capital efficiency, you know, does what does it do to your decision-making process? Not you know, I wanna spin you around on Permian Plateau, but just given the cost and productivity structure of your operation there, feels like it's getting incrementally capital efficient to accelerate. So just in the context of what you're seeing performance-wise, you know, how do you feel about the Permian strategy?
Eimear Bonner: Hey, Sam. I'll take this one. Yeah. Well, what we're seeing is exactly what we set out to achieve, and that was to hold Permian at a million barrels a day. We've seen that for three quarters and optimize on cash generation. And we're already seeing cash efficiency improve. We're at $3,500,000,000 of CapEx, already, and that was something that we thought that it was gonna take us some time, but the team has just done a terrific job. Every aspect of the factory there has seen efficiency and improvement. And now, you know, we're taking that further given that our shale and tight portfolio is together as part of the new organization in one business. And so we'll see we'll see in that capital efficiency extend to the back end extend to, the DJ, and extend to Argentina. You know, one data point I'd give you just to illustrate it clearly is drilling rig efficiency. And since 2022, you know, we've more than doubled our drilling efficiency from that point. And so we're drilling, the development areas for much less. In terms of our decision-making, right now, I know change to our decision-making. I mean, Permian plays a role in our portfolio. We're focused on growing cash flow. Not growing production. And, you know, the capital efficiency, enables that. So, I just finished by emphasizing, you know, all of these actions are improving returns.
Jake Spiering: Thank you, Sam.
Operator: We'll take our next question from Paul Cheng with Scotiabank.
Paul Cheng: May can you discuss how you see the opportunity set in two of the OPEC countries Libya, and Iraq, where a lot of your competitors seems to be believe that the opportunity sets have margin improved and making wave. We haven't heard from Chevron. And also that comparing to your peers, your LNG size or portfolio size is much smaller. And how that fit into your long term? Do you have a different view comparing your peer, on the LNG business? Thank you.
Michael K. Wirth: Hey, Paul. Couple of questions there, I guess. First of all, you might have seen we recently signed an MOU in Libya. You know, we're a little bit underweight, relatively speaking, Middle East. Versus some other parts of the world, and that's been intentional. The types of contracts and the terms have been on offer in The Middle East broadly speaking, for the last decade or more, have not been very competitive versus some of our alternatives. And so you've had a lot of service type contracts. And, you know, in a world of limited human resources and limited capital resources, we need to deploy these to what we believe are the highest return opportunities. And it's been tough for a lot of those to compete within our portfolio. So we've not gone into Iraq. You know, it's been a decade or more than since we've last really had any kind of a serious look at Libya. Those things are changing. And I think in part, you know, when we saw President Trump make a visit through the region earlier this year, we saw a notable uptick in inbound inquiries and a desire to engage not just in those two countries, but in any number of other countries that would like to see American companies invest in their economies. And so, you know, we you know, the resource potential in some of these countries is undeniable. They're two of the largest resource holders. In the world. And so we're engaged in discussions in both of those countries. They've been reported in the media. To look at everything from existing producing fields and coming into those to operate and grow. Also looking at exploration opportunities as well. Improvements in fiscal terms have been critical. Pairing discovery resources with exploration opportunities to make things more attractive. And so we need to see compelling value opportunities there if we're going to invest. We intend to stay disciplined on capital and seek the highest returns. My quick response in LNG, Paul, I think I've spoken to this before is you know, we're a global player. We need to be in projects that compete. And, a lot of things that we've passed on around the world similarly, to my comments about, some of these Middle East opportunities. They also don't deliver the returns that we're looking for. And so got some US offtake where we don't need to put capital to work because we have a large gas position. We got strong, you know, credit position, and we can get attractive throughput rates and let somebody else deploy the capital into those so we'll have some LNG offtake from US. And, you know, we'll continue to look at opportunities. We're not opposed to adding, but it's got to deliver competitive returns. Thanks for the question, Paul.
Operator: We'll take our next question from Stephen Richardson with Evercore ISI.
Stephen Richardson: Hi. Thank you. I was wondering if we could maybe just dovetail on those the comments just there on changing fiscal terms internationally and the opportunity. Just feels like you've positioned the company arguably really well to win in a low commodity price environment. And with a ton of leverage to the upside as your sensitivities suggest. So that's it, but the opportunity set just keeps on getting bigger. I mean, we're just talking about Venezuela. Talking about some of these opportunities in The Middle East. You've got a revamped exploration program. So can you just follow-up on that in terms of how do we think about maintaining that leverage to the upside while developing some of these future opportunities? And how do you instill that discipline in the organization, if you could?
Michael K. Wirth: Yeah. Steve, I mean, we've steadily worked to high grade our portfolio. We've looked to add very strong and competitive assets to our business. And we have divested ourselves of positions that are not bad assets but they fit better for somebody else than they do for us. And so in doing so, I think we've strengthened the company. You've seen our breakeven has come down. You see that, you know, we've we're able to operate at lower cost because we're actually in fewer positions that have more scale. They've got longevity, so we can apply technology to these assets. And, and I think you can expect us to continue to do so. We want to grow, you know, gradually over time. The demand for our products isn't growing at an enormous rate. You know, demand for us is growing arguably 1% a year, give or take. Gas is growing a bit more strongly than that. And so, you know, we've got a volumetric growth a little bit above that. Last year, this year. We got some acquisitions and project start-ups. But over time, we've got to grow cash flow. And that's the focus. We got to drive breakevens down because we're in a commodity business. We can never forget about that. We've got to apply base business excellence to everything that we do. So we got to drive value out of these assets. We got to work them better. I'll give you and Eimear talked earlier about bringing all of our shale businesses together. As you look now at what we're doing with, the Permian, the DJ, the Bakken, and Argentina, all as part of one organization. And I see people, practices, technology, standards being shared across those businesses, we're steadily driving the kind of improvement that Eimear was addressing in her response to Sam across that entire portfolio. And so we've consciously positioned the company as you say. To have the resilience that I talked about. I said we're bigger, better, and more resilient than ever. That means we can ride through the cycles in even better position than we could in the past. And we've got you know, a balance sheet that provides ballast if you get into a long cycle. And, you know, we've got this track record of continually raising the dividend, steadily buying shares back through the cycle, and being able to reinvest in the business to strengthen it over time. And that's the playbook going forward.
Jake Spiering: Thank you, Steve.
Operator: We'll take our next question from Biraj Borkhataria with RBC.
Biraj Borkhataria: Hi, thanks for taking my question. Just a follow-up on portfolio. Been touched on a couple of times, but we've seen a bunch of headlines on you maybe looking to sign deals in various countries. I was just wondering is this a concerted step up in your efforts or is this largely initiated by resource-rich countries and reverse inquiry some perspective there would be helpful. And one of the things just to note on is your portfolio has become more concentrated over time. Which is good and bad depending on the situation. So I was just wondering if that part of your thinking is looking to diversify and how you're thinking about the portfolio there. Thank you.
Michael K. Wirth: Yeah, Biraj. So look, business development is part and parcel of what we do every day, week, month, and year. There are times you're in a pretty sparse environment in terms of opportunity, and there's times when it's more target-rich. What I would say is and this tends to kinda work on a long cycle sometimes. What we see today are more attractive opportunities, frankly. Than I think we've seen in the past. And I spoke to The Middle East, so I won't repeat that. But you know, we do see a lot of interest in that part of the world and it's reflected in these more competitive fiscal terms. And so I don't think we've necessarily changed our appetite or our level of diligence and activity in the BD environment. We just see a more attractive suite of opportunities out there. We'll continue to be very selective and pick and choose. I hear your comment about portfolio high grading and concentration, if you will, at the core, you know, we run big things big. We like long large positions that have lots of running room. We like to apply technology and base business excellence to drive value through those assets. When you're in a position with a lot of smaller assets spread all over the world, your safety exposure, you've got a lot more surface area on safety, environmental issues, compliance issues. You just go down the list. So you deploy a lot of your great people to manage those things across assets that can be small and out there kind of in the tail of a portfolio having large positions where you can put your best people to work on assets that really matter is something that I believe is important. And so I recognize you could get too concentrated. I don't believe that we are. And as I mentioned earlier, we're a little underweight in The Middle East, which is an area we wouldn't mind having some more exposure if we can find it in a competitive financial standpoint.
Jake Spiering: Thank you, Biraj.
Operator: We'll take our next question from Manav Gupta with UBS.
Manav Gupta: Good afternoon. You have a very strong refining portfolio, and there are two tailwinds we see to that refining portfolio. One is your competitor closing capacity in California, leaving you with one of the biggest footprints out there. Above mid-cycle margins. And second is the possibility of using some of those Venezuela and heavy sour barrels in your refining systems, the Gulf Coast and other places. Can you talk a little bit about those two possible tailwinds to your refining margins? Thank you.
Michael K. Wirth: Yeah, Manav. Thanks for bringing up something near and dear to my heart, the downstream business where I spent a lot of my career. First off, on where you ended on Venezuelan crude, we've been bringing about 50,000 barrels a day, give or take, into our Pascagoula, Mississippi refinery on the Gulf Coast. We can take another 100 barrels a day into our system, both at Pascagoula and on the West Coast where we've got coking capacity at El Segundo. So I think you should expect to see us assuming it competes, against alternatives, to be running more Venezuelan crude in our system. Over time. In California, it's an interesting situation. We have a very strong downstream position there. We've got scale. We've got complexity in terms of conversion capacity. We've got flexible crude sourcing, advanced logistics, a very strong retail brand to integrate the business. And so we're as competitive as anybody, and I would argue advantage really versus the rest of the competitors in California. You're seeing some refineries close. That is going to take capacity out of the system. And, already, you know, we've got a market there that is geographically and logistically isolated. So isolated by specification as well. And as a result, California pays higher fuel prices than the rest of the country. By simple market forces being at work there. We've seen decades of what, in my opinion, has been, you know, poor energy policy making that has made it more difficult to invest. The irony is we have places in the world like Venezuela that are trying to become more attractive to investments as, places like California enact policies to become less attractive to investment. All of that is unfortunate as someone who spent a lot of time in that state, but it highlights the need, for policy that enables investments and, and for, competitive terms and regulatory environment. And so we'll see how things play out in California over time.
Jake Spiering: Thank you, Manav.
Operator: We'll take our next question from Alastair Syme with Citi.
Alastair Syme: Thanks very much. Reserve replacement this year obviously benefits from Hess, but you'd also take on the new production. And, you know, that means reserve life has dropped again. And it's now a lot lower than it was five to six years ago. You know, the question is how do you think about the suitability of this metric to your business and really as a guide for investors in your business? Thank you.
Eimear Bonner: Hey, Alastair. I'll take this one. Yes. I mean, triple R, our reserve replacement ratio, in a business that has depletion is an important metric. It's not the only metric that we look at when we think about the depth of our inventory or the quality of the portfolio. And last year, in addition to the triple R that was associated with the inorganic growth you know, with closing Hess and bringing Guyana and back into the portfolio. They're also, you know, some of that did come from organic ads as well, so extensions, discoveries, and project sanctions. So it's a blend it's a blend of both. Look. With triple R, it can be lumpy. So some years, you know, you can get a kind of a flurry of things happening at one time. So what we look at is we look at the one year, but we also look at the longer-term trends as well. We look at the competitive, metrics too. And, you know, when we take all of that into consideration, we had a great year in 2025 on triple R, and we lead the peer group in both five and ten year. Thanks for the question.
Operator: Thank you. We'll take our next question from Jean Ann Salisbury with Bank of America.
Jean Ann Salisbury: Hi, good morning. You all had said at the Investor Day that you had started to test the chemical surfactants in other basins outside of the Permian. Have you gotten any early results back from the DJ or Bakken? And anticipate that it's going to work as well there?
Eimear Bonner: Yeah. Thanks. I'll take this one. So we've been primarily focused on, Permian, and in fact, we've increased the treatments from about 40% of the new wells being treated at the first half of 2025 to, almost 85% will be treated this year, and we're striving to 100% in 2027. So it has been more of a focus, in the Permian, and, I just point out we're testing our proprietary chemical technology, but we're also testing the combination of that with other commercially available chemicals. So cocktails as such, we're trying out different things depending on the development area. We showed in Investor Day some of our results. What I'd say is we're now realizing 20% improvement in ten-month cumulative recovery on the new wells. So we have even more information than what we shared and said. So we're really excited and we expect that's at least a 10% recovery uplift when we think about it over the full life of the well. What we've also learned is we can apply these technologies not only to the new wells, but the existing wells. And what we've seen in almost 300 of the treatments that we've done in existing wells that we've declined by five to 8%. So all in all, very encouraging. The programs to scale and other parts are underway, though. We don't have results that we can share with you today. We did do some treatments in Bakken in the fourth quarter. We expect to see some of that soon. We have pilots underway in the DJ as well. And so we'll share the results. I mean, we publish the results. They're verifiable. We give you the paper references, so that you can see for yourself. But we will share all of that in due course. But we're really excited. And what I would also say, this is one technology program amongst a set of programs that's really focusing on doubling shale and type recovery. We've got a stimulation program that it's very deep. We've also got, an effort to leverage the unmatched data position we have around our shale and tight wells using AI to clean insights into how to design wells, develop wells, and increase recovery. So very comprehensive. We anticipate we'll have some results for you this year, but right now, we're just focused on getting the treatments out to those other shale and tight basins.
Jake Spiering: Thank you, Jean Ann.
Operator: We'll take our next question from Betty Jiang with Barclays.
Betty Jiang: Good morning. This is a good follow-up to Jean's question. Wanna ask about the Bakken specifically since you've been there for a couple of quarters now. How is it performing relative to your expectations with the cross-learning between the two teams? And how do you think about the Bakken position overall today?
Michael K. Wirth: Yeah. Thanks. Thanks, Betty. Look, we're pleased with the Bakken. We're applying best practices as Eimear mentioned, from other parts of our portfolio. We're looking at things that Hess had been doing in the Bakken to apply those in the DJ, the Permian, or in Argentina. We've already optimized our development program to reduce capital spending better utilize existing infrastructure, maximize value. We've moved from four rigs to three with a similar drilling output. We've optimized the workover fleet, renegotiated some of the key supplier contracts, working on advanced chemicals with some optimism. We're implementing long lateral development in 60% of the wells this year and up to 90% in 2027. So driving value there, we're gonna you know, Hess had a target, and we will hold that to, you know, level it out around 200,000 barrels a day plus or minus and really focus on cash flow. So similar to the way you've heard us talk about the DJ and the Permian, we think we can drive a lot of asset productivity efficiency technology and free cash flow growth in this asset as well.
Operator: Thank you. We'll take our next question from Geoff Jay with Daniel Energy Partners.
Geoff Jay: Hi, guys. I was just really struck by the margin improvement sequentially in US upstream. And I know there's a lot of moving parts, but it looks like realizations were down over $3 on a BOE basis, but, you know, costs you know, the margin was actually up. And I guess I'm wondering if there's a way you can help me understand how much of that are those structural cost savings or and optimization efforts you guys are doing and kind of what the pathway for that looks like going forward over the next year or so.
Michael K. Wirth: Yeah, Geoff. I'd point to a couple of things. Number one, you know, we've been bringing on new production in the Gulf of America. These are high-margin barrels. And so when you bring that into the mix, you start to see the margin expand. Number two, as we've moved to plateau in the Permian, and I also mentioned the DJ in the Bakken. That's 1,600,000 barrels a day. As you start to drive efficiency and productivity and technology across that kind of a production base, you can see a real impact of that. The third contributor then are some of these structural reductions that we're making. In our organization, in a more efficient support of people, to these businesses, consolidating all of our shale assets into one organization. So I'd say there are multiple levers there. But your broader point is one, that I think is important. I mentioned earlier that, you know, we're in a relatively low grow it's a growth business. No doubt about it. But the band for energy globally grows gradually. We need to focus not only on growing volumes in order to meet that demand, we've got to continually work on expanding margins. And that's your value chain optimization. That's through all these other things that I just talked about. And so margin expansion is something that in my background in the downstream, we worked hard to expand margins through things we can control. You can do that in the upstream too. I've got we've got people focused on that. And we're seeing the results as you point out.
Jake Spiering: Thanks, Geoff.
Operator: Thank you. We'll take our next question from Bob Brackett with Bernstein Research.
Bob Brackett: Good morning. A follow-up around Venezuela. You mentioned bringing Venezuela heavy into Gulf Coast refineries and having some capacity on the West Coast. Do you have a sense of how much heavy from Venezuela could be absorbed by The US without impacting heavy light dips or without backing up Canadian heavy?
Michael K. Wirth: You know, Bob, good analysts do great work on that. Markets are wonderful things. And what's gonna happen as you bring more of these barrels in, as you say, you're gonna kinda back out what's currently feeding the system. They're gonna redistribute around the world and kind of a new equilibrium will establish. And light heavies will reflect that. Flows will reflect that. I don't have a simple rule of thumb I can give you or a kind of a simple way to describe that. I'm pretty sure you can get down into the details and model that better than I'm gonna be able to describe it to you. But you're right. It's gonna shift these things around.
Eimear Bonner: Thank you. We'll take our next question from Phillip Jungwirth with BMO.
Phillip Jungwirth: Thanks. Good morning. On chemicals, you made no secret about wanting to get bigger in this area. Obviously, you need a willing buyer and seller price that works, plus it's tough to do deals at the bottom of the cycle. But the question is, how do you view the benefits to Chevron of owning more of CPChem? Are there things you could do differently whether versus the current JV structure, whether it's operational or strategic? And are there other avenues to get larger in pet chems beyond this?
Michael K. Wirth: Yeah. So look, CPChem is a well-run company. And wanna give them full credit. And it's been a well-run company for a long time. We've been very pleased with our investment in that company. We've been pleased with our relationship with our partner and it's been a good vehicle for us. We think the long-term outlook for chemicals is positive. We're in a tough part of the cycle right now. But with the growing middle class and the growing global population, the products CPChem needs are increasingly going to be in demand around the world. We got a couple of projects underway that will be highly competitive when they come on next year. We'll see how this cycle plays out. I think it's still got some time to go. We would like more exposure to the sector. But, you know, as you say, you gotta have two people that want to do a deal. Are there other ways we could do things, you Yes. We can look at things. I'd remind you, we also have a very large aromatics position in North Asia at GS Caltex. One of the largest aromatics plants on the earth. And so we'll look for the right ways to increase our exposure to petrochemicals. Over time.
Jake Spiering: Thank you. Thank you, Phil.
Operator: Thank you. We'll take our next question from Paul Sankey with Sankey Research.
Paul Sankey: Morning, Mike, good to hear that you're not modeling the heavy lights spread constantly. Mike, if I could ask you a couple of specifics. On Kazakhstan, which you've already referenced, but was the power outage what caused that? Was that just an upset? And secondly, the specifics of the loading was that owing to military activity, I guess?
Michael K. Wirth: Yes. So look, the investigation is ongoing on the power outage and I don't want to speculate on it. The team is gathering new information each day. We've got our subject matter experts from in-country, from outside the country. We've got OEMs from all the various vendors that we work with. Involved in this, and they're making good progress. But I'm not gonna comment on it at all. I think it's a mechanical issue, I can say vast. But beyond that, I don't want to say anything more. It's not a sabotage or cyber or anything like that. On the loading birth, it's been well publicized. You know, one there's three offshore single point moorings at the Nova Resisk Terminal or offshore at Nova Resisk. One of those was out for maintenance. Two were in service. One of those two was hit by a submarine drone back in December as part of the military activity in the Black Sea. So that's what took CPC down to one loading berth. It is you know, we're back up to two loading births now, and there's a third one that is slated for some big maintenance work, and we'll be back later this year. Historically, the Caspian pipeline and that terminal have been very, very reliable. And I think if you look at it in the fullness of time, the uptime and the reliability record has been very good. Notwithstanding that, when it's you know, when you're pinched back like that, it's frustrating, and a lot of people have been working very hard at TCO and all the shareholders at CPC to address these issues.
Jake Spiering: Thank you, Paul.
Operator: Thank you. We will take our final question from Jason Gabelman with TD Cowen.
Jason Gabelman: Yes. Hey, thanks for taking my question. I wanted to ask about the balance sheet as it relates to M and A. In the past, funded acquisitions primarily through shares, and there are some assets on the market in Kazakhstan that can make sense to acquire though it seems like maybe that acquisition would need to be funded by cash instead of stock. So with that in mind and maybe in a broader sense, how do you view using cash to fund acquisitions, you know, not of the Hess size, but of some of a smaller size like Reggie and Noble. Versus using equity given the current balance sheet. And kind of related to that, I noted that, on the front of the earnings release, you put debt to cash flow instead of, net debt to cap. It looks like that's maybe a preferred debt metric. Is that so? And if so, why the change? Thanks.
Michael K. Wirth: Yeah. Jason, let me talk about transactions, and I'll let Eimear talk about ratios and metrics. When we do a deal, you're negotiating with a counterparty. And the consideration is part of the negotiation. And there are times when your counterparty prefers cash. There's times when they prefer equity. There's times when they may want a mix. And so that's a matter of negotiation. On large-scale M and A in our sector, where you're gonna have a long time between deal signing and close. I e, a deal we just closed after a pretty long cycle. Using equity hedges commodity price risk on both sides of the transaction. And if you enter into a deal on one commodity price environment and you close it in another and you've got a lot of cash in the deal, you can find out that you know, you find yourself where one party feels like the deal got a lot better for them and the other feels like it got a lot worse. And so, equity and transactions like that tend to be preferred by both counterparties because the way to hedge out some of the commodity price risk. Smaller deals that close faster and are of a different nature, you can find cash is preferable. And so we'll work with whatever consideration makes sense in a negotiation. We're flexible, and, you know, we've bought things with cash over the last many years, and we've done equity deals. So it really depends on circumstances. Eimear, do you want to talk about metrics, debtors? There's a number of metrics out there to look at the debt. Ratios. And so what we've done here is we've just moved towards what our rating agencies look at and what, many of you look at in terms of. So we're just trying to be consistent. I mean, we still look at net debt ratio, but overall, the message is our balance sheet is in really good shape, and we're in a position of strength. Thanks for the question. I would like to thank everyone for your time today. We appreciate your interest in Chevron and your participation on today's call. Please stay safe and healthy. Katie, back to you.
Operator: Thank you. This concludes Chevron's Fourth Quarter 2025 Earnings Conference Call. You may now disconnect.